Operator: Good afternoon. Thank you for joining today’s call. With me today are George Colony, Forrester’s Chairman of the Board and CEO; Kelley Hippler, Forrester’s Chief Sales Officer; and Mike Doyle, Forrester’s Chief Financial Officer. George will open the call, Kelley will follow George to discuss sales and Mike Doyle will discuss our financials. We will then open the call for Q&A. A replay of this call will be available until November 28, 2020 and can be accessed by dialing 855-859-2056 or 404-537-3406. Please reference the conference ID 5894106. Before we begin, I’d like to remind you that this call will contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company’s current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The Company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I’ll now hand the call over to George Colony.
George Colony: Thanks for being on our third quarter 2020 investor call. After I give an update on the quarter, Kelley Hippler, Forrester's Chief Sales Officer, will summarize sales results and progress. Mike Doyle, our CFO, will finish up with a financial review of Q3 and full-year guidance. And then Kelley, Mike and I will take questions. In Q3, we exceeded the guidance for revenue and earnings per share, beating revenue by nearly $5 million and EPS by $0.12. We are increasing revenue and EPS guidance for the full-year. As I talked about on the Q2 call, the pandemic is increasing demand for research and advice. The challenges, change and disruption of these times are driving client engagement in what I call a golden age of research. We are seeing increasing demand for our content on four levels: number one, research that advises on how to navigate the pandemic; two, research on structural changes in the workforce, in particular, for future of work; three, research on how to transition to digital, a development that has been accelerated by the pandemic. And then finally, number four, digital tools provided by Forrester used by our clients to drive their sales leads and client engagement. This business has accelerated with reprint growing 37% year-over-year in Q3 and content marketing increasing 31%. Year-to-date, we have seen research readership among active clients increased by 10%. Webinar attendance is up 44%. Analyst inquiries, these are the 30- to 60-minute client meetings conducted by analysts, are up 10% for the year. Forrester's residents during these times is also being manifested in our events business. Our virtual events continue to draw large paying audiences, and we saw attendance accelerate in the third quarter. In 2020, we have held six events, including SiriusDecisions Summit, CX North America and the Security and Risk Forum. Paid attendance at our virtual events topped 2019 to physical events by 11%, and feedback scores continue to outpace scores for physical events. In the second and third quarters there were nearly 170,000 views of streamed sessions. FeedbackNow is Forrester's venture to enable companies to measure and improve experience in real time. Our technology is deployed in over 1,000 locations worldwide, gathering data from over 18,000 physical and digital endpoints. We are currently rolling out new touchless devices and digital people counters to help our clients improve their experiences during the pandemic. So to conclude on products, our certification business grew 24% year-over-year as companies continue to use these times to improve the skills of their teams in B2B marketing and also in customer experience. As Forester moves into 2021, we are looking to grow our contract value products, in particular Forrester and SiriusDecisions' research. To stimulate our CV sales pipeline for the year ahead, we create predictions and planning assumption documents, and I wanted to highlight a few here. In the buyer behavior space, we believe that social distancing will prompt consumers to experiment with immersive virtual experiences in the coming year. 12% of U.S. online adults will experiment with augmented or virtual reality in 2021, expanding overall AR/VR exposure to nearly half the U.S. online population. In the marketing space, marketers will double down on retention and loyalty. 75% of B2B marketers will focus demand generation tactics on retention and enrichment in 2021, and that's up from 59% in 2020. B2C marketers will spend 30% more on loyalty and retention efforts, driving a 40% spike in e-mail and mobile messaging. In the cybersecurity space, we're finding that pandemic-related uncertainty, remote working conditions and employee errors are going to intersect to create the ideal conditions for social hacks. One third of security breaches in 2021 will be caused by insider threats. And then finally, in the cloud space, we now predict that the global public cloud infrastructure market will grow 35% in 2021 to $120 billion. And then Alibaba Cloud will take the number three revenue spot globally after AWS and Azure. The report projects that many large companies will shift select portions of the cloud traffic toward a new architecture, edge computing, to better-serve local customers, and this trend is going to slow the growth of public cloud and usher in a new group of edge computing tech vendors. The full portfolio of prediction and planning assumption documents will be online by year-end. Turning now to Forrester's financial position. We continue to flow free cash with our cash position at quarter end at $73 million. Year-to-date, we have generated $29.2 million in cash. And in 2020, we have reduced our debt obligation by $21 million. So to conclude, Forrester is navigating its way through the pandemic and recession. Our clients are challenged by macroeconomic conditions and 10% are highly challenged. Now that said, companies are turning to Forrester to widen the digital footprints; align sales, marketing and product; improved CX; improve employee experience; and sharpen their customer obsession. So yes, these are demanding times, but they are stimulating a golden age of research as companies look for answers in a changing world. Forrester remains financially sound, and we are using these times to develop new products that will position the company to accelerate as the pandemic and recession begin to clear. So I hope that you're all staying well and that your families are safe. And now I will pass the call over to Kelley Hippler, Forrester's Chief Sales Officer. Kelley?
Kelley Hippler: Thank you, George. I'm pleased to share that the positive momentum we saw in June carried into Q3. We are both proud and appreciative of the hard work our Forrester team members across the globe have been doing to support our clients during these unprecedented times. In Q3, bookings performance improved across all geographies and selling motions versus Q2. Most notably, both our core organization, which sells to high-tech clients and prospects below $1 billion in revenue and our premier user teams in the United States rebounded strongly. As George mentioned, we are in the golden age of research. Clients need Forrester's insights now more than ever to help them navigate change, innovate and grow. For example, in India, one of the regions hardest hit by the pandemic, we just signed a multiyear higher growth agreement with one of our clients for $1.6 million over two years. The pivots we put in place in April have helped us to steadily improve results despite the continued economic headwinds. These initiatives include: number one, shifting focus to strongest market opportunities. We stood up a cross-functional pipeline acceleration program to align resources across the Forrester ecosystem to where we were best-positioned to drive value for our clients. This program included hot topics such as COVID-19 response and management, customer experience, digital experience, employee experience and demand generation. We had a nearly $500,000 digital user experience project win with a $50 billion global commerce client. What started as an inquiry with a Forrester analyst evolved into a full digital user experience review of 22 sites in the United States and United Kingdom across seven personas. Our high-tech clients depend on Forrester to support content creation. And demand has increased as other traditional lead sources like in-person events are no longer available to them. One example, we partnered with one of our clients to create a demand program, leveraging Forrester's Total Economic Impact or TEI methodology, valued at over $500,000. Two, move to all virtual events. Forrester's pivot to all virtual events has enabled us to deliver on our events calendar for 2020. Events play a central role in strengthening the overall relationship that clients have with Forrester. Our virtual events have given us the opportunity to stay connected with clients and showcase our thought leadership with positive results. Our events continue to accelerate pipeline building and help to secure renewals. Number three, conducted more sales training. In July and August, we held our annual H2 strategy workshops. We leveraged these virtual workshops to share best practices on topics like social selling and the use of video and prospecting and client engagement. We also conducted additional training on our audience-centric buyer persona approach to enable us to capitalize on the efforts of marketing. And number four, we drink our own champagne. We continue to leverage our research and frameworks to improve alignment across our organization. This includes shifting our team to be digital sellers. Principal analyst, Mary Shea had correctly predicted that 2020 would be the year of digital selling. And she said this before the pandemic hit. Now that we are all digital sellers, we're having more meaningful and authentic interactions with our clients and prospects who are literally inviting us into their homes. We are working with our team to make sure that we are well prepared, doing our homework and are respectful of their time. As planning for 2021 continues, we are leveraging our SiriusDecisions' sales planning methodology and have built a bottoms-up sales capacity model. We have calculated our lifetime value and client acquisition costs to guide future investment decisions. We are focused on our core value proposition of helping business and technology leaders create customer-obsessed organizations that drive growth. Our own research shows that customer experience differentiation is the key to post-pandemic success, and we will continue helping our clients to build strategies and execute programs to differentiate their brands based on customer experience. With that, I will turn the call over to Mike Doyle.
Michael Doyle: Thanks, Kelley. I'm now going to review Forrester's financial performance for the third quarter of 2020, including a look at our financial results, the balance sheet at September 30, our third quarter metrics, and the outlook for the fourth quarter and full-year of 2020. Please note that the income statement figures we review on this call are non-GAAP results, which we refer to as adjusted results and exclude those items mentioned in our press release today. For the third quarter, Forrester delivered adjusted revenue, operating profit and earnings per share that exceeded the upper end of guidance. Despite a challenging unpredictable environment, we continue to see resiliency in many parts of our business. Our reprinting content marketing offerings continue to lead the way in the third quarter, growing by double-digits for the third consecutive quarter. Our core Forrester Research service and Executive Programs have both outperformed expectations as clients need help navigating challenging times and planning for the future. These stronger product results helped offset some of the revenue pressure we're experiencing in other services due to sales declines earlier in the year. Expenses remain in check, driven by lower T&E and event expense due to travel restrictions. Combination of better-than-expected revenue and continued tight expense management resulted in both operating margin and EPS exceeding expectations. As we look forward to the fourth quarter, we continue to expect an uncertain macroeconomic environment. However, we are experiencing increased demand for both our research and consulting services. And as a result, we are raising our full-year guidance for revenue, operating profit and EPS. Our sales and operating organizations have done an excellent job adapting to the pandemic, and continue to execute well despite the macroeconomic headwinds. Now let me turn to a more detailed review of our third quarter results. Third quarter revenue decreased by 1% compared to the third quarter of last year. Research revenue declined by 4%. Consulting revenue increased by 6%. And events revenue decreased by 21%. Operating expenses for the third quarter increased by 1%, driven by higher headcount and merit increases were shared earlier in the year, as well as the restoration of certain employee benefits that were previously deferred as cost savings measures. These increases were materially offset by lower travel and entertainment expenses due to travel restrictions, lower professional services and lower events production cost due to our move to virtual events. Overall headcount increased 2% compared to the third quarter of 2019. Operating income was $8.2 milion or 7.6% of revenue compared to a $11.1 million or 10.1% of revenue in the third quarter of 2019. Interest expense for the quarter was $1.3 million as compared to $1.9 million in the third quarter of 2019 due to the pay down of our line of credit and reduced interest rates in the quarter. Net income for the quarter was $4.6 million and earnings per share, was $0.24 compared with net income of $6.5 million and earnings per share of $0.34 in the third quarter of 2019. Our business’ key metrics continue to reflect the challenging environment in which we are operating due to the COVID-19 pandemic. Agreement value, client count, retention and enrichment declined compared to last year. However, we did see stabilization across all metrics compared to the prior quarter. We provided details in today's earnings release. Now I'd like to review the balance sheet. Our cash at September 30, 2020, was $73 million, which is an increase of $5.1 million from the end of 2019. Cash from operations was $4.2 million for the quarter as compared to $12.1 million in the third quarter of last year. For the first nine months of 2020, we generated $29.2 million in cash from operations, which we are pleased with in this economic environment. Debt payments were $2.3 million during the quarter and $21 million for the nine month period, which includes $14 million of payments to fully pay down our line of credit. Property and equipment purchases were $2.2 million for the quarter compared with $3.7 million in the third quarter of last year. Accounts receivable at September 30, 2020, was $54.1 million, compared to $54.6 million as of September 30, 2019, with accounts receivable over 90 days at 5% at September 30, 2020, compared to 6% as of September 30, 2019. I am happy with our collections performance in this difficult economic environment. Deferred revenue at September 30, 2020, was $155.4 million, a decrease of 7% compared to September 30, 2019. In summary, we had a stronger quarter than expected. The momentum we saw in our business late in the second quarter continued in the third quarter with continued double-digit growth performance from our reprints and content marketing products. Our consulting business performed well, and we had better-than-expected performance from our core Forrester research product, the client metrics are stabilizing and our balance sheet remains healthy. Despite constrained budgets, our clients are valuing our research content and advisory services to help them navigate this challenging business environment. As we look ahead, the macroeconomic environment remains uncertain with the coronavirus spiking around the globe. That said, the demand for our products and services is growing. Given that, and on the heels of a strong third quarter performance, we are raising our full year guidance for revenue, operating margin and earnings per share. We provided guidance on a GAAP basis and listed the items excluded from our adjusted guidance in our press release and 8-K filed today. Forrester is providing fourth quarter 2020 guidance on an adjusted basis as follows: revenues of $108 million to $116 million, operating margin of 8% to 10%, an effective tax rate of 31%, and diluted earnings per share of $0.27 to $0.34. Our full year 2020 guidance on an adjusted basis is as follows: revenues of $437 million to $445 million; operating margin of 10.5% to 11.5%, an effective tax rate of 31%, and diluted earnings per share of $1.53 to $1.60. Thanks very much. And now I’m going to turn the call over to the operator for the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Nicholas of William Blair. Your line is now open.
Trevor Romeo: Hi. This is actually Trevor Romeo in for Andrew. Thank you for taking our questions. Just have a few. First, it's nice to see the guidance increase, which was particularly sizable on the bottom line. I think Kelley gave some helpful examples of individual instances where you've seen wins lately. I was just kind of wondering if you could broadly sum up the most important factors that are giving you confidence to increase guidance relative to where you were last quarter? And if you could talk about maybe some specific areas where you're seeing the strongest pickup in your pipeline?
Kelley Hippler: Hi. This is Kelley. I can at least take the questions on the pipeline. I'll leave questions on guidance to Mike. But in terms of – one of the best things we saw about the quarter was we saw upticks across every single region and across all of our geographies, which I think was very encouraging for us. And specifically, our premier user organization is one that had really struggled. We've talked previously about there being about 10% of our client base that was in that direct hit from the COVID space. That was the organization that took the biggest brunt of it in Q2, and that organization has bounced back really nicely. But I think one of the things we're really encouraged by is that we're seeing improvements in pipeline, conversion rates, retention rates across all of our selling motions.
Michael Doyle: Yes, Trevor, this is Mike. Relative to the guidance, I think we had – I think we mentioned our core Forrester Research product, which is our biggest product, had a really good quarter. So that's syndicated revenue that will push out going forward. In addition, we like the backlog of activity we have in those areas that are currently doing really well, content marketing and our strategy consulting businesses. So the confidence level there and also based on what we're seeing, we felt very comfortable pushing our guidance up. We know it's still going to be a bumpy ride, but I think the numbers we have out there, we're pretty comfortable with.
George Colony: And Trevor, George here. Just to add a small note, that the velocity around digital has been very surprising to us. It's pretty obvious now it's kind of digital or die. So companies that were delaying are now accelerating. And the efforts, the money being spent, the capital being spent is pretty impressive. So that also, I think, is encouraging us. Good question. Thank you.
Trevor Romeo: Okay. Great. Yes that’s helpful. And really good to hear all around. Just another one on the events business, I guess. Now that we're one more quarter into the environment that we find ourselves in now. Just thought I would update – or sorry, I would ask for your updated views on kind of the medium-term trajectory of that business. It sounds like you've seen some really positive results with virtual so far. But just kind of curious on your thoughts on how that business evolves over the next few years. Thank you.
George Colony: Yes. Good question. So as you know, we were – we did this really quickly. We pivoted fast. We did not cancel any events for the year. We were virtual in the beginning. We began the effort in March. First, huge – the first big event, of course, was in May. So we feel very proud of the very fast pivot that we made into virtual. And with Intrado has been a terrific platform, unlike some of our competitors whose systems, whose platforms went down during events. That has not happened to us. We've had great stability and a great experience. So as we look forward into 2021. Trevor, there are really three models here. There are physical events. They are fully virtual events and there are hybrid events. We are preparing for all three scenarios in 2021, beyond 2021, when pandemic is over, we think we'll actually have the ability to have very cool, very large virtual events so that we could have a summit physically here in the U.S., but anyone in China or anyone in Asia or Europe could attend that virtually simultaneously. So we think that we're learning some new ways to build events and run events, which are going to enable us to really drive that business do a good job in 2021, but also to drive it even faster when the pandemic is over. So we've learned a lot. We've come down some learning curves, and we're going to use this period and what we've learned to really drive this business in the next two to three years. So expansion, not contraction.
Trevor Romeo: Okay. Great. That’s all I had for now. So, thank you very much for color. I appreciate it.
George Colony: Thank you, Trevor.
Kelley Hippler: Thanks, Trevor.
Operator: Thank you. And our next question comes from Vincent Colicchio of Barrington Research. Your line is now open.
Vincent Colicchio: Yes. I guess, George or Mike, what's – are you assuming a continued rapid growth in the reprint revenue and content marketing revenue in the Q4? And could you give us more color as far as what's driving that extraordinary growth?
George Colony: Yes. So Vince, what's going on here is that the B2B tech vendors because all of their events have been canceled are having a lot of difficulty engaging and driving pipelines and driving leads. So what's happened is they're using our reprint and our content marketing to do that. So I think I expect this is going to continue right through Q4, probably through the first half of next year. What do you guys think?
Kelley Hippler: Yes. George, I would agree with that as well. And I think that was a big part of the rebound that we saw within the core space, was related to helping to support our B2B clients.
Vincent Colicchio: And based on the pipeline you have, and what are your thoughts, George, in terms of when we may see a meaningful improvement in agreement value?
George Colony: Yes. I mean, we love those businesses, content marketing and reprints. Those are wonderful businesses. But they really exhaust from the contract value research businesses, events, which we're really looking to drive next year. We're always looking to drive that. And actually, as Mike said, we're very encouraged by performance in the legacy Forrester Research in Q3. So we're glad we're in those businesses. That's not our core primary business, but we'll take it during a recession and during the pandemic. But we're looking at next year, and we spent a lot of time this year developing new products to drive contract value and formerly called agreement value, but contract value next year. So we have ambitious plans for next year around driving that business.
Michael Doyle: Yes, Vince. I mean, look, the agreement value and also we’ve seen deferred revenue as well is down year-over-year, and that's not surprising given a meaningful hit in the second quarter for just about every business and certainly ours. So agreement value drops down. So that's a little bit of the hill we're going to be climbing as you roll into next year, right? As you begin replacing what we, those bookings we call syndicated bookings, so agreement value, which will be going to contract value next year. As we replace that, that will build. But I think that, that's going to be – our expectation economically is that the first half is still going to be somewhat uncertain. So we're going to bounce around a little bit. So I think it’s going to be – we're going to be digging ourselves out with a very, I think, probably a very pronounced acceleration in the back half of next year. That's how we're thinking about it right now.
Vincent Colicchio: And what are your thoughts on consulting in the Q4? I know that could be pretty fairly lumpy, and it's been a pretty good growth driver of times in the past. What do you think? What's your thinking there?
Michael Doyle: Vince, it's always a wildcard. You just – you don't know if the virus spikes are going to curtail activity. But frankly, our consulting team has figured out how to deliver it in a virtual manner in a very effective way. So I expect that we should have a very, very good quarter with consulting. We are feeling pretty good about that. And to George's point, there's a lot of value we can add. There's a lot of our clients that are really struggling with some things, and they need our help.
George Colony: It's kind of like events, Vince. We've learned how to do consulting virtually now really well. So that business – it's really surprised us this year. I mean, not doing as well in Asia and Europe, but doing quite well here.
Vincent Colicchio: I will go back in the queue. Thanks guys.
Operator: Thank you. And our next question comes from Anja Soderstrom with Sidoti. Your line is now open.
Anja Soderstrom: Yes. Hi. Thank you for taking my question and congratulations on a great quarter. I wanted to see how you are progressing with the SiriusDecision and the cross-selling of that and the integration of your sales teams that you've been conducting over the year.
Kelley Hippler: Yes. Anja, thank you for the question. So we are definitely seeing improving results on the SiriusDecisions side, and we like the trajectory that we're on, given the economic headwinds. But we have seen improvements in retention rates in the last couple of quarters as well as acceleration of the two various cross-sell programs that we have in place and are expecting additional sales from that coming in the Q4 timeframe just given our cycle time. So making progress, not where we would like to be, but definitely on a good trajectory there.
Anja Soderstrom: Okay. Thank you. And are you still expanding the sales team? And/or you sort of fully built that out and you just need to get those – you have up to speed?
Kelley Hippler: Sure. So we did expand our headcount at the start of the year. So year-over-year, we do have more sales capacity. And we're going to remain flexible based on what we see from the market conditions as we head into 2021 with the goal being to be positioned for growth coming into the back half of next year.
Anja Soderstrom: Okay. Thank you. That was helpful. And then, in terms of the sort of 10% of your clients that are more in the challenged sectors, are you engaging with them? And how are you engaging? And are you seeing any sort of activity at all there? Or have you seen any change in their activity?
Kelley Hippler: We have seen a few come back in the back half of the year, especially those that were in sort of travel space, in particular. So we are starting to have some potential win-back opportunities with some of those clients. So we will continue to engage with them. We want to obviously be there to help our clients through these tough economic times. So we've tried to be as customer-obsessed as we can to help these individuals navigate, and we are starting to see some uptick there. And I suspect that we'll have several win-backs into 2021 as their businesses start to come back as well.
Anja Soderstrom: Okay. Thank you. That’s was all for me.
Kelley Hippler: Great. Thank you, Anja.
Operator: Thank you. [Operator Instructions] And our next question comes from Allen Klee of National Securities Corporation. Your line is now open.
Allen Klee: Yes. Hi. My apologies, I jumped on late, if you mentioned this. But in terms of your new initiatives with getting more of a faster feedback on customer experiences and what you're doing with security, could you kind of talk about where they stand now and where – what the path is over the next year?
George Colony: Hey Allen. Thanks for joining. I'm not quite clear on the question.
Michael Doyle: I think Allen is looking at – you're talking about FeedbackNow and where it's headed?
Allen Klee: Yes.
George Colony: Yes. I mean, I don't know if you had the numbers, but we talked about being in 1,000 locations, 16,000 endpoints gathering data. So it's interesting, Allen, lot of the – the votes coming through FeedbackNow, which were in the 600,000 range pre-pandemic dropped down pretty precipitously. Of course, a lot of it is driven by retail and travel. Over the last – in Q3 actually that curve started to been upward again. We actually can watch traffic through airports. And so we're probably back to 55%, 60% of traffic now of both traffic moving through the feedback systems. I mean, the most exciting thing we did this quarter is we began to roll out touchless devices. So obviously in time of pandemic no one is going to push a button in a bathroom, or in a retail store. So to have touchless, and we have a lot of interest in touchless right now. So we're going to be changing on a lot of endpoints into the new technology in Q4 and also in the first half of next year. We think it's really going to be big. It's going to help us push against some of the smaller competitors.
Allen Klee: Thank you. My other question is, what would you say are the key initiatives you have to improve retention numbers enrichment and number of clients?
Kelley Hippler: Sure, Alan. This is Kelley. And we are continuing to work on driving our client enrichment through different cross-sell efforts that we have. So we mentioned our audience-centric go-to-market, which is set up to target five different buying centers. So we're partnering very closely with marketing to leverage our go-to-market framework to be able to drive enrichment within our existing clients as well as targeting those same buying centers to drive new business. Then on the retention side, our customer success team is doubling down its efforts to engage our clients. We've actually automated a number of client journeys to be able to help make sure that we're keeping clients engaged throughout this process. And in addition to that, part of our sales strategy is positioning more multiyear deals moving forward, which we know over the fullness of time will help drive our retention rates up. So definitely a two-pronged approach, working to drive retention as well as strategies for driving enrichment and new business, and we'll carry those over into 2021.
Allen Klee: Okay. Thank you.
Kelley Hippler: Thank you.
Operator: Thank you. And ladies and gentlemen, this does conclude our question-and-answer session. I would now like to turn the call back over to Michael Doyle for any closing remarks.
Michael Doyle: Yes. Thanks very much. And thanks, everyone, for joining the call. One of the silver lines in the pandemic is George and I have spent a lot of time virtually with our investors. And we've had a busy quarter, and we're looking forward to doing the same in the fourth quarter. So we'll be reaching out and looking for opportunities to come and talk more about our business and where we're headed. Thanks very much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.